Operator: Good morning. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to the TDS and UScellular's Fourth Quarter Earnings Results Conference Call.
 [Operator Instructions] Jane McCahon, you may begin your conference. 
Jane W. McCahon: Thank you, Audra, and Good morning, everyone, and thank you for joining us today. As we announced last September, Colleen Thompson will be taking over leadership of the IR function in May. We've been working together to ensure smooth transition, but I'll certainly be involved for the next few months. So Colleen? 
Colleen Thompson: Thanks, Jane, and Good morning, everyone. I've spoken to a number of you in the past couple of months. But for those that I haven't met yet, I look forward to the opportunity. We want to make you all aware of the presentation we have prepared to accompany our comments this morning, which you can find on the Investor Relations sections of the TDS and UScellular websites.
 With me today and offering prepared comments are from TDS, Pete Sereda, Executive Vice President and Chief Financial Officer; from UScellular, LT Therivel, President and Chief Executive Officer; Mike Irizarry, Executive Vice President and Chief Technology Officer; and Doug Chambers, Executive Vice President and Chief Financial Officer; from TDS Telecom, Jim Butman, President and Chief Executive Officer; and Vicki Villacrez, Senior Vice President of Finance and Chief Financial Officer.
 This call is being simultaneously webcast on the TDS and UScellular Investor Relations websites. Please see the websites for slides referred to on this call, including non-GAAP reconciliations. We provide guidance for both adjusted operating income before depreciation and amortization, or OIBDA, and adjusted earnings before interest, taxes, depreciation and amortization, or EBITDA, to highlight the contributions of UScellular's wireless partnerships. TDS and UScellular filed their SEC Forms 8-K, including the press releases and our 10-K yesterday.
 As shown on Slide 2, the information set forth in the presentation and discussed during this call contains statements about expected future events and financial results that are forward-looking and subject to risks and uncertainties. Please review the safe harbor paragraphs in our press releases and the extended version included in our SEC filings.
 In terms of our upcoming IR schedule on Slide 3, the team is dividing and conferring at presenting at both Raymond James and the Morgan Stanley conferences on March 7th. And then on March 14th, we will be participating at the Deutsche Bank Conference. And as always, our open-door policy can now be an open door, phone or video policy. So please reach out if you're interested in speaking with us.
 I will now turn the call over to Pete Sereda. Pete? 
Peter Sereda: Thanks, Colleen, and Good morning, everyone. In December, we announced that I will be retiring in May and Vicki Villacrez will be replacing me. Vicki has been CFO of TDS Telecom since 2012 and prior to that led financial planning and strategic analysis for the enterprise. So this transition should be very seamless. Vicki has been an important driver of TDS Telecom's success over the past 10 years, and she will bring a wealth of experience to her new job. I congratulate her on this new challenge.
 On Slide 4, as we look at 2022, I want to highlight all the positive trends impacting our businesses. Demand for broadband continues to grow. Connectivity, whether mobile or fixed, is a necessity to remote education, health care and work. The markets we serve, primarily suburban and rural, are benefiting from people migrating to these areas out of major cities. Additionally, 5G offers high-speed fixed wireless. And with fiber available to only 30% of households in the U.S., this represents a great opportunity for us.
 TDS was founded 50 years ago on a mission of bringing connectivity to unserved and underserved markets. So the introduction of the infrastructure bill brings opportunities for both of our businesses. And lastly, over that time, TDS has also held a multi-stakeholder approach to good corporate citizenship at the forefront of its values.
 As we expand our ESG program, we are essentially reinforcing the values that we have already had: caring about customers and associates, striving to enhance the lives of people in our communities, as well as serving as a good steward of the environment.
 As we discussed on our past calls, maintaining financial flexibility is 1 of the pillars of our corporate strategy. Our strong financial position and ready access to the debt capital markets enabled UScellular to purchase valuable mid-band spectrum while also enabling TDS Telecom to expand investments in our growing fiber program. This strong financial position and market access will be important as we continue to invest in our fiber program in the future, as Jim will discuss later in the call.
 Before the business units discuss their successes, I want to briefly talk about the transformation of our balance sheet as illustrated on Slide 5. First, we have worked to diversify our funding sources through a variety of different types of financings, including preferred stock, an export credit term loan, a syndicated term loan, new 10-year core bank term loans and an increase in our equipment installment receivable securitization facility. In addition, we had a goal to lower the average cost of our financings.
 Since the beginning of 2020, we have raised $3.5 billion in new capital, both debt and preferred equity at 4.8%, while at the same time redeeming $1.8 billion in debt that carried a weighted average cost of 6.9%, reducing our average cost from 6.7% to 5% and resulting in $37 million in annual coupon savings. Importantly, going forward, we believe that we will continue to have access to the debt capital markets through a variety of instruments to continue to finance our future growth.
 Finally, I want to highlight that we have again increased our dividend rate. This represents the 48th consecutive year that we increased our dividend, quite an accomplishment.
 I will now turn the call over to LT. LT? 
Laurent Therivel: Thanks, Pete. If we can turn to Slide 7. I'm really pleased with all the team accomplished and our progress in 2021 and much of it was foundational for 2022. While we continue to see positive momentum in several focus areas of the business, and that includes prepaid, business and government and fixed wireless, we've developed tactical plans to reach our return on capital goals over the next 3 years.
 I am going to let Doug cover the operational and financial highlights as well as our guidance for 2022. But I first want to provide a few thoughts on these strategic priorities.
 Last year we launched a regionalization strategy. That's something our competitors can't replicate. That lets us test and optimize a wide range of actions, and that includes pricing constructs, promotions, media mix. The renewed focus on prepaid let us some encouraging initial results and positive prepaid adds for the year as well as laying the foundation for future growth with expanded distribution and a new approach to lifecycle management.
 Last year we laid the foundational work to build the business in government side of the business. And that includes segmentation and specialization of our internal sales team as well as the addition of new distribution, new partners, new channels. And these should position us to generate meaningful revenue growth.
 As I discussed in previous calls, we strengthened our market position as a tower company, made numerous enhancements which let the market know that we're open for business. And you can see that in the results. I think we're just getting started here.
 Turning to the network. We continued to pursue our network modernization program and our multi-year 5G deployment. The majority of our traffic is now carried by sites that have 5G deployed. And equally important, we're getting 5G devices into our customers' hands. So far nearly 30% of our smartphone subscribers have 5G-capable devices. The biggest development on the network side in 2021 was our targeted acquisition of C-band and DoD spectrum. We now have a really solid mid-band spectrum portfolio. Even though the auctions were quite expensive when you compare them historically, I'm really pleased with our outcome. And I'm going to ask Mike Irizarry to give you a bit more detail on this. Mike? 
Michael Irizarry: Thanks, LT. Good morning. Turning to Slide 8. We continue to advance our 5G spectrum strategy. And with the spectrum we acquired in the C-band and DoD auctions, we will have mid-band spectrum and substantial majority of our operating footprint covering 80% of our subscribers with 100 megahertz of mid-band. This is in addition to our strong low band and millimeter wave spectrum positions. Mid-band serves as the bridge between our low band and our high-band holdings.
 As a reminder, we have previously acquired millimeter wave spectrum with an aggregable spectrum depth of 530 megahertz across our footprint. This gives us strong positions in all 3 spectrum bands -- low, mid and high -- and provides us plenty of capacity to continue to deliver outstanding mobile and fixed wireless services to our customers and support future 5G services and use cases.
 In total, including required incentives and relocation payments, we have invested slightly over $2 billion in the mid-band spectrum and have done so at efficient prices as our average price per megahertz-pop that we paid in both auctions 107 and 110 was lower than the overall auction averages.
 As Pete mentioned earlier, we were able to successfully raise the capital to finance these purchases while also reducing our cost of financing. We are preparing to deploy mid-band equipment on our network, optimizing tower clients and radio requirements for both DoD and C-band as well as leveraging efficiencies with our ongoing 5G modernization plan. These efforts will begin prior to our C-band spectrum being cleared, which will allow us to turn on our mid-band spectrum efficiently. Overall, our strong spectrum position and the network experience that it enables will be key to enabling our 2022 goals, which LT will discuss next. Over to you, LT. 
Laurent Therivel: Thanks, Mike. We turn to Page 9. Our strategic priorities for 2022 will look familiar to you and they build on our progress in 2021. Our mission remains the same. Our company is dedicated to connecting our customers to the places and the people that matter most to them. As you know, executing that mission requires a lot of investment. And I mentioned the investment we made in spectrum earlier. You're going to hear from Doug later that we plan to maintain a steady pace of capital investment as we modernize our network and roll out the mid-band spectrum that we purchased.
 In order to justify that investment, we have to expand our return on capital. And that's the key metric we use to set our long-term plans for the business.
 One key opportunity that we have in the next year or 2 and that should help a lot with our return on capital goals is to take advantage of the funds being allocated to the recently passed Infrastructure Investment and Jobs Act, the IIJA. This is a potential game-changer, not just for UScellular but for finally connecting the on and underserved, particularly in rural America.
 To put some context around it. You got $46 billion allocated to broadband. The specific allocations are still being worked out, but you can think of about $20 billion likely flowing to the states that we operate in and at least $8 billion flowing to the areas where we operate network. Now a lot of that will go to fiber, it should. But as I mentioned in our last call, I was encouraged that Department of Commerce had committed to avoiding symmetry requirements. That will allow fixed wireless to potentially play a big role as well.
 I've talked in previous calls about how encouraged I am by the results from our millimeter wave fixed wireless trials. You see nearly 1 gig of speeds across 7 kilometers with line of sight. We commercially launched our millimeter wave product at 300 gigs. That's a massive improvement over existing solutions.
 But the challenge is in the tower economics. In order to provide comprehensive coverage, we need much denser towers, and the IIJA can provide the funding necessary to make the economics work. It's a lot cheaper to build and run fiber to 1 tower that covers hundreds of homes and businesses than it is to run fiber to each of those individual locations. And the exciting part is that the benefit doesn't stop with fixed wireless. We can use infrastructure funding to improve the economics for tower builds that's focused on fixed wireless. We can also improve the coverage profile of 5G.
 That will significantly improve our mobile network experience to our postpaid and prepaid base. This is an extra benefit to provide funding to wireless carriers for broadband deployment that fiber can't match.
 And just in case you forgot, and I know you didn't, we're also the only mobile operator that owns our towers. So we can market those new towers to other carriers, which also creates positive economics. It may take several years to execute this plan, but I'm enthusiastic about the prospects to work with state and local governments to really improve the experience for underserved areas, helping to bridge the digital divide in the communities in which we're invested, significantly advancing our network and doing it all with positive economics for our stakeholders, which levers for 2022.
 I do want to talk about 1 other key strategy area, and that's our talent. We've managed the great resignation incredibly well thus far. Our attrition was relatively stable year-over-year in 2021. We were recognized on Forbes list of America's Best Employers. We're #141 in the country. That's up from number #413 last year, and we're ranked as the Best Employer in telecom. That's ahead of Cox at 180, ahead of Verizon at 244, ahead of T-Mobile at 336 and ahead of a lot of others that weren't even ranked. And in my view, that's due to the tremendous culture of this place. But we're going to have to keep investing in it, and you can expect to see an even increased emphasis on diversity, equity and inclusion to ensure that we remain a fantastic place to work. And if you'd like to witness our customer-focused culture first hand, I encourage you to tune into Undercover Boss on CBS on March 4th, just to see how powerful culture our culture is and you can also laugh at my outrageous mustache.
 Now let's turn to Slide 10. A major strategic objective for us is growth. And I want to cover that objective in a bit more detail. We made a lot of investments in growth in 2021. We started to see the benefits in many areas of the business. Prepaid is a really good example. As we pivoted the business to net add growth, I expect even better momentum in 2022.
 The one area, and it's a big one, that I was not satisfied with last year was our postpaid net additions and the lack of growth in our postpaid connections base. The environment remains as competitive as ever, particularly for upgrades, and that carries challenging economics for the entire industry. At the same time, customers are holding devices for longer than ever, and that's somewhat dilutes the impact of aggressive device promotions. That's a really challenging dynamic, not just for UScellular. A variety of initiatives are underway to stabilize our postpaid market share through improvements on value proposition, customer lifecycle management and the digital experience. You can also expect to see us continue to leverage our regional approach, adjusting our go-to-market on a community-by-community basis and getting even closer to our customers.
 We talked briefly on the business and government sector. We laid the groundwork in this space in 2021 with new distribution. We're confident in our ability to expand revenues in this area in the long term, particularly in the IoT in the private networking space.
 As a regional operator, UScellular has always been a part of the communities we serve. And we estimate there are over 3 million businesses in our operating footprint. That provides real opportunities to significantly expand our market share going forward.
 Finally, we expect continued growth from our tower portfolio. We made a number of operational changes in 2021, including substantially reducing cycle time. As a result of that work, we have really strong sales momentum heading into this year.
 Before I hand it to Doug, let me just share a few thoughts on our 2022 guidance. We expect to see expanded retail service revenue. We are going to continue to see headwinds from roaming, and that affects overall service revenue. Additionally, our guidance assumes a continuation of aggressive ongoing promotional activities. And that's on both upgrades and acquisitions.
 We're bullish on growth over the long term and we're making the necessary investments in distribution and in network to make it happen. Our long-term goal remains substantive expansion and returns on capital. We will be pulling every lever at our disposal to improve return overtime. You can expect to see revenue growth, couple of expense discipline as well as capital optimization. That will hopefully be supported by meaningful participation in some of the government's funding efforts that I mentioned earlier.
 With that, let me hand it to Doug to cover some of the details on subscribers and financials. 
Douglas Chambers: Thanks, LT. Good morning. Let's start with a review of customer results on Slide 11. Postpaid handset gross additions increased by 6,000 year-over-year, largely due to higher switching activity in combination with our strong promotional activity. Of course, this was against backdrop of industry-wide promotional aggressiveness on handsets.
 We saw connected device gross additions decline 12,000 year-over-year, driven by lower hotspot sales compared to the prior year when we experienced an increasing demand due to the pandemic.
 Next, let's turn to the postpaid churn rate shown on Slide 12. Postpaid handset churn was 1.10%, up from 1.01% a year ago. This was driven primarily by voluntary churn, which continues to run at higher year-over-year -- continues to run at higher year-over-year as a result of increased switching activity and aggressive industry-wide competition. Involuntary churn also increased slightly in the quarter.
 Total postpaid churn, combining handsets and connected devices, was 1.35% for the fourth quarter of 2021, higher than a year ago due to the higher handset churn and certain business and government customers disconnecting connected devices that were activated during the peak periods of the pandemic in 2020.
 Moving to Slide 13. Prepaid continued to improve compared to the prior year, driven by enhancements to our prepaid offerings throughout the year. We saw prepaid gross additions increase by 7,000 year-over-year and saw an overall increase of 14,000 to a prepaid base compared to prior year-end.
 Now let's turn to the financial results on Slide 14. Total operating revenues for the fourth quarter were $1.068 billion, essentially flat year-over-year. Retail service revenues increased by 2% to $696 million, primarily due to a higher average revenue per user, which I will discuss in a moment.
 Inbound roaming revenue was $24 million, decreasing 27% year-over-year due to lower data volume and rates. One of the factors contributing to this data volume decrease is the merger of Sprint and T-Mobile and the continuing migration of Sprint roaming traffic to T-Mobile's network. Other service revenues were $62 million, up 3% year-over-year.
 Finally, equipment sales revenues decreased by 4% year-over-year, in large part as a result of an increase in promotional activity.
 We continue to engage in aggressive promotional activity during the fourth quarter of 2021 to remain competitive with the industry. A portion of the resulting promotional costs reduces equipment sales revenue and increases loss on equipment. In addition, loss on equipment in the fourth quarter of 2020 was mitigated by the impacts of pandemic, specifically lower switching activity and less aggressive promotional activity relative to 2021.
 As a result of the combined impact of these factors, loss on equipment increased $24 million year-over-year. This change in loss on equipment however was offset by a reduction in other operating costs as profitability increased slightly compared to the prior year. We expect the aggressive promotional environment, including retention offers to persist throughout 2022 and our guidance for 2022 reflects the corresponding financial impact.
 Now a few more comments about postpaid revenue shown on Slide 15. Average revenue per user or connection was $48.62 for the fourth quarter, up 2% year-over-year. On a per account basis, average revenue per -- average revenue also grew 2% year-over-year. The increases were driven primarily by favorable plan and product offering mix and an increase in device protection revenues. These increases were partially offset by an increase in promotional costs.
 As you can see on Slide 16, we have seen steady growth in tower rental revenues. Fourth quarter tower rental revenues increased by 9%. We are seeing positive momentum in tower colocation applications, and we'll continue to focus on growing revenues from these strategic assets.
 Moving to Slide 17. I want to comment on adjusted operating income before depreciation, amortization, and accretion and gains and losses. To keep things simple, I'll refer to this measure as adjusted operating income.
 As shown in the slide, adjusted operating income was $181 million, an increase of 1% year-over-year. As I commented earlier, total operating revenues were $1.068 billion, essentially flat. Total cash expenses were $887 million, a decrease of 1% year-over-year.
 Total system operations expense decreased 3%, largely driven by lower roaming expense resulting from lower data rates and lower voice usage combined with lower cell site maintenance.
 Cost of equipment sold increased 4% due to an increase in units sold and the higher average cost per unit sold driven by a higher mix of smartphone sales. Selling, general and administrative expenses decreased 4%, driven primarily by decreases in advertising and legal expenses.
 Adjusted EBITDA, which incorporates the earnings from our equity method investments along with interest and dividend income was $225 million, an increase of 1% year-over-year.
 Now let's turn to Slide 18, where we show our full-year financial results. Total operating revenues were $4.1 billion, a 2% increase year-over-year. This was driven by an increase in retail service revenues due to higher average revenue per user and an increase in equipment sales. Also contributing to the increase were higher tower rental revenues and miscellaneous other service revenues. These increases were partially offset by a decrease in roaming revenues.
 Total cash expenses were $3.3 billion, an increase of 3%. This was due primarily to an increase in the cost of equipment sold, partially offset by a decrease in selling, general, and administrative expenses. Excluding cost of equipment sold, cash expenses decreased 1%. Adjusted operating income and adjusted EBITDA, both declined 1% due primarily to an increase in loss on equipment, which increased $70 million from $41 million to $111 million, which is the result of the highly competitive and promotional environment that we experienced throughout 2021.
 Next, I want to cover our guidance for the full year 2022. Again, our guidance assumes the aggressive promotional environment that we experienced in 2021 will persist throughout 2022. We expect ranges of approximately $3.1 billion to $3.2 billion in service revenues, $750 million to $900 million in adjusted operating income and $925 million to $1.075 billion in adjusted EBITDA. This guidance reflects our estimates for low single-digit growth in retail service revenue, continued decline of high margin roaming revenue, continued elevated levels of promotional costs, including loss on equipment given the anticipated aggressive promotional environment and modest growth in other cash expenses as we continue to invest in 5G and the growth areas of our business.
 For capital expenditures the estimate is in the range of $700 million to $800 million. Our multi-year 5G network modernization program remains on track. We will also continue our targeted millimeter wave buildout in 2022 and begin making investments to deploy the mid-band spectrum we acquired in auctions 107 and 110. We have also provided a breakdown of capital expenditures by major category.
 I will now turn the call over to Jim Butman. Jim? 
James Butman: Thank you, Doug. Good morning, everyone. I'm pleased to share that our transformation to become the preferred broadband provider in our markets is well underway. I've never been more optimistic about TDS Telecom's future. We are in a strong position today due to a number of growth initiatives we started executing on 5 years ago. In fact, we surpassed $1 billion in operating revenues, and we exceeded 500,000 broadband connections for the first time in TDS Telecom's history.
 In 2021 we turned up 86,000 new fiber marketable service addresses, bringing total fiber addresses to nearly 400,000. It's critical to build these fiber networks and connect customers quickly to stay in front of potential competitors. We have an active pipeline of identified markets and continue to plant flags in the most attractive new markets that will expand our footprint even further. We continue to address the broadband needs in our most rural markets by upgrading our copper networks with federal ATM funding and state broadband grant programs.
 We've continued to transform our workforce and adapt to the opportunities and challenges brought on by the pandemic and labor shortages. We moved to a hybrid work environment. In addition, we have placed extra emphasis on strategies to promote diversity, equity and inclusion objectives throughout our organization to keep us an attractive employer. Our associates are our most powerful resource.
 Moving to Slide 22, we have 5 strategic pillars enabling our robust transformation. First, we are growing our scale through fiber market expansions. Second, we are growing our revenue through increased revenue per connection, customer penetrations, and through continued fiber expansions. In our third pillar, we are continuously streamlining and automating our operations to reduce the legacy costs and invest in new growth initiatives. Our fourth pillar is keeping the customer at the center of everything we do continuously investing in customer experience improvements. Finally, the foundation of our entire business is our highly-engaged, resilient and dedicated workforce. We invest in our people to make sure we attract and retain top talent.
 Moving to Slide 23, let me share some specific data points that demonstrate the transformation happening within our business. I have set bold goals for the team, which will require us to scale up more quickly, plant more flags and build relationships with our vendor partners. As we execute our strategy over the next 5 years, we plan to reach approximately 2.2 million service addresses with about 60% of those addresses being fiber and 80% capable of gig or faster speeds.
 As Pete mentioned earlier, we have several strong underlying trends as tailwinds to our broadband strategy. There is increased bipartisan support for providing high-quality, affordable broadband services to rural America. With support from state and federal broadband programs, we intend to significantly reduce our expansion to ungraded copper, and we will continue to seize opportunities to improve broadband products for our most rural customers.
 Our strategy is working. For the past several years, we have ramped up our broadband strategy, investing in our networks and we are positioning the business for faster growth over the next 5 years.
 On Slide 24, I'll describe our fiber program in more detail. We plan to triple our total fiber service addresses over the next 5 years to 1.2 million, with aspirations of increasing that target as we identify new opportunities. Our sense of urgency has increased given the attractiveness of this opportunity and the heightened level of participation by other older builders. Specifically, in 2022 we expect service addresses delivery to outpace 2021 by 1.5x to 2x.
 Along with the rest of the industry, we continue to face an actively manage broader economic, supply chain, labor challenges affecting our industry, including permitting complexities and contractor delays. For example, to increase our speed to market, we are accelerating our deployment schedules. We are adding more markets to increase our flexibility and we are strengthening our relationships with our vendors and strategic partners.
 We have a rigorous process for selecting expansion markets. We focus on areas that have a favorable competitive environment such as areas that do not have fiber competition, have the potential for household growth and have customers with the propensity to adopt high broadband speeds. We also look to partner with communities who are eager to bring fiber into their cities and offer a welcoming regulatory environment. Finally, we look for the ability to create larger market clusters, so we can leverage our network and field resources.
 For the markets we have selected we expect to achieve broadband penetration rates between 40% and 50% in a steady state, making us the leader in our markets. Our experience to-date is supporting the business case penetration assumptions and we are pleased with our fiber expansion results so far and see even more opportunities for further expansion.
 Before I turn the call over to Vicki, I want to acknowledge her tremendous efforts serving as CFO of TDS Telecom. As we announced earlier, Vicki will be replacing Pete Sereda as CFO of TDS. Vicki has been instrumental in driving the successful transformation at TDS Telecom and we look forward to her contributions leading the finance teams across the TDS Enterprise.
 I also want to extend a warm welcome to Michelle Brukwicki, who will be replacing Vicki as CFO of TDS Telecom. Michelle has previously served as Vice President of Financial Analysis and Strategic Planning at TDS, and I am confident she will excel in her new position.
 And now I will turn it over to Vicki. 
Vicki Villacrez: Thank you, Jim, and Good morning, everyone. I'm very proud to have served as TDS Telecom's CFO for the past 10 years, and I look forward to continued success in my new role at TDS. I also want to welcome Michelle. I've been working closely with Michelle over the last several years on TDS Telecom's strategy and I'm looking forward to her continuing TDS Telecom's transformation.
 With that said, let me begin by highlighting some of our operational accomplishments for the quarter.
 Moving to Slide 25. We grew our total service addresses 7% year-over-year and are now operating 1 gig broadband speeds to 58% of our total footprint. Total residential connections increased 2% due to broadband growth in new and existing markets, partially offset by a decrease in voice and video connections.
 Despite the connection losses, video continues to remain important to our customers and a key part of our bundling strategy as it helps to increase our broadband penetration and reduce churn. Looking at the chart on the right, overall higher value product mix and price increases drove a 4% increase in average residential revenue per connection.
 Moving on to Slide 26. You can see the broadband connection growth across all markets. Total telecom broadband residential connections grew 7% in the quarter as we continued to fortify our networks with fiber and expand into new markets. We are on-track in our network construction under the A-CAM program also helping to drive growth in our incumbent markets. Our focus on fast reliable service has generated a 12% increase in total residential broadband revenue.
 The 1 gig product along with our 2-gig product in certain markets are important to also allow us to defend and to win new customers. In areas where we offer 1 gig service, we are now seeing 20% of our new customers taking the superior product.
 On Slide 27, total revenues increased 2% year-over-year. Driven by strong broadband growth, residential revenues increased 6% across all markets. Commercial revenues decreased 7% in the quarter on lower CLEC connections, partially offset by a 5% increase in broadband connection. Wholesale revenue decreased 2%.
 Let me sum up the combined financial results for the quarter and the year as shown on Slide 28. Total revenues increased 2% in the quarter and 3% for the year as growth from our fiber expansions that increase in broadband subscribers exceeded the declines we experienced in our legacy business. Cash expenses increased 2% in the quarter and 5% for the year due to both supporting our current growth as well as spending related to future expansion into new markets, which is not yet reflected in our revenue. Future market costs include direct costs such as sales, marketing, real estate and technicians in addition to shared service costs necessary to support new market growth.
 Adjusted EBITDA increased 2% for the quarter to $75 million but decreased 2% for the full year due to planned investment spending on new market. Capital expenditures increased 2% for the quarter and 12% for the year due to increased investment in fiber deployment.
 On Slide 29, we provided guidance for 2022. our guidance factors in the foundational investments we are making to support the fiber expansion program over the next several years. We are forecasting total telecom revenues of $1.01 billion to $1.04 billion. This reflects our goal of top line growth, driven by continued improvements in residential revenue across all of our markets, offsetting declines in the legacy parts of our business.
 A key assumption on our guidance is how many marketable fiber service addresses we can deliver. Our plans include address delivery of approximately 160,000 fiber service addresses. Given our construction delays last year, our conservative approach to financial guidance factors in potential shortfalls in service address delivery should we experience similar challenges.
 A reminder that seasonality will impact the quarterly cadence of fiber service address delivery starting slowly in the first quarter and steadily building throughout the year.
 Adjusted EBITDA is expected to be between $260 million to $290 million in 2022 compared to $310 million in 2021. This increase in adjusted EBITDA is primarily due to our heightened market expansion plans that Jim just discussed. We expect increases in front-end loaded market expansion costs to outpace cost reductions made in other areas of the business. Capital expenditures are expected to be between $500 million and $550 million in 2022 compared to $411 million in 2021. Nearly 90% of our capital spending is allocated to broadband growth with more than 60% going directly into fiber investment.
 With that, I'd like to say it's been my pleasure to serve as TDS Telecom's CFO and to derive our shift in strategy to be the preferred broadband provider. I look forward to updating you in my new role in the future.
 Now I'll turn the call back to Colleen. 
Colleen Thompson: Operator, we're now ready for questions. Given that we're a little short on time, we want to make sure each analyst has an opportunity this morning. So we ask that you please limit your questions to one and we will circle back for follow-ups as time permits. Okay, we're ready for the first question. 
Operator: [Operator Instructions] We'll take our first question from Ric Prentiss at Raymond James. 
Ric Prentiss: Just first question is, LT you talked a lot about what's going on with the network cell pacing. Help us understand how you view the fixed wireless access opportunity, kind of what's the addressable market, what's the schedule to think about deploying it. What do you think the competitive environment is? Are you taking from copper DSL, from cable, what's kind of opportunity out there? And we've been kind of -- kind of second question, but just what is the timing for government stimulus that that might help that return on capital, both at the UScellular side and the TDS side? 
Laurent Therivel: The optimal opportunity without infrastructure subsidies from the government is, think of it as a tower that has between, call it, a couple of hundred homes and businesses within a 4 to 5-mile radius. The way that we would serve those businesses initially is with millimeter-wave and then over time as we bring DoD on, which will be at the very end of this year and certainly a lot more in 2023 as well as once the C-band clears, which will be at the end of 2023, we'll be able to serve those businesses and homes as well with mid-band.
 Right now, the size of that market without infrastructure subsidies, Ric, I don't have a firm size to give you. I think we've got enough opportunities to keep us busy. What I'll tell you is the real opportunity is with IIJA. And the reason is because if you think about, let's call it, $1 million to put a tower in rural America, it's probably a little bit high, but back of the envelope. I can serve -- I can make that tower profitable on a fixed wireless access basis with a couple of hundred subscribers.
 If I can take the cost of that tower and make it $500,000 or if I make $100,000, well then, if I can even just make the tower profitable with fixed wireless subscribers, then the opportunity is, I've been able to significantly subsidize my cost of rolling out 5G to the area. By the way, that's really attractive to the governors that we've spoken with, because what they're viewing it as is frankly a double-dip for their constituents. They get better broadband to their home, and they get a better 5G mobile experience. The beautiful thing is that we also then have a new tower in rural America, where by definition a tower wasn't before. And so that will also be an attractive colocation opportunity for my tower customers.
 And so there's really 3 revenue streams off of that individual infrastructure dollar. We're rolling out that fixed wireless service without infrastructure subsidies, but we're doing so steadily, gradually. We've got the service live in market in a couple of states. You can expect to kind of see some gradual expansion there. But the thing that's really going to put it on steroids and I think that will make a meaningful difference in our financials is we can take advantage of those infrastructure dollars.
 In terms of timing, according to the Department of Commerce, the FCC has said they're going to have maps out in the fall. Actually, I think they may have said summer. My expectation is probably that's going to take a little bit longer than people think. And so my expectation is, we'll probably have good maps for the states to use later this year. They have access to a chunk of money immediately to help them with planning efforts. And so my expectation is that we'll start to see meaningful grants flowing from the states in 2023. So 2022 will be a foundational year in terms of building the business. 2023 will be taking advantage of those dollars I think really hitting the growth levers. 
Ric Prentiss: And when you think of who the addressable market is, is it somebody who doesn't have broadband, is it somebody who has copper broadband, who do you see as the target market? 
Laurent Therivel: Yes. So we're marketing at 300 -- we're working at 300 down. We're also seeing north of 100 up. So we think it's a pretty terrific experience. Certainly, copper DSL, non-upgraded cable plant. I think when you get into upgraded cable plant, it starts to become a little bit trickier. But I still think we can play. The dollars per gig are somewhat commensurate and we think we can provide a pretty good customer experience. We're good at that stuff. Where it doesn't play is where there is fiber. And so where fiber either has been or will be in the near term, let's call it with the IIJA, I don't think that's a good -- I don't think that's necessarily a good economic calculation. And so I don't see it being a compelling option there. 
 Now what is that, how exactly that market size is up in our states? Well that's kind of where we have to wait and see how those dollars start to flow and how many of those dollars go to fiber versus how many of those dollars go to alternate technologies. 
Operator: We'll go next to Phil Cusick at JPMorgan. 
Philip Cusick: Unlike Ric, I am going to follow the rules and I only have 1 question but with 2 parts. I guess -- so congratulations Vicki. Maybe one more on TDS for you. The guidance on TDS operating revenues is good, but the EBITDA decrease. Maybe you can lay out for us the OpEx or losses in those expansion markets. And will you sort of outline those through the year? And then how should we think about those over the next few years as the expansion continues?
 And then for LT, clearly UScellular churn is being pressured by more competition. Do you assume that this continues and how do you hit your ROI estimates on this new spectrum and CapEx in this kind of environment? 
Vicki Villacrez: Okay. The decline in EBITDA is all due to our market expansion. We are increasing the number of new communities significantly in 2022, and each of those come with upfront spending, such as real estate, engineering work, transport, the hiring of the teams in the market, sales, marketing, and field technicians. But we're highly confident in our plans to earn attractive returns on these investments and we're already seeing. I've got a number of successes already as we are into our 5th year of this program and we are seeing contribution margins from our earlier out of territory fiber market meeting or exceeding, in some cases, our expectations.
 So with that said, as you see the increase, we did increase cash expenses in 2021 and the majority of that was all due to our expansion market. But as we are now increasing significantly our total program, you're going to see more upfront spending in 2022. And that is the reason for the lower EBITDA guidance.
 Jim, I don't know if you want to add anything more to that. 
James Butman: No. Vicki, I think you did a great job. No, I would tell you here the opportunity we see is so great and the market is moving quickly that we just feel we've got to go a lot faster, okay? So if you look at what we did over the past 5 years and what we're projecting, I mean we're more than doubling this service address delivery and the window for the best markets it's going to go away. There is more and more activity in this market. So we just think this is the time to seize the opportunity. So we're going to put the metal -- or the pedal to the metal. 
Laurent Therivel: So, Phil, when I think about how to hit those targets, I talked about, I'd point you to a couple of levers. I think the first when you look at our postpaid business -- postpaid consumer, we have to continue to do better. But our share of gross adds has actually been quite strong last year, and particularly in Q4. So it's really a churn story. And the churn dynamic is going to be affected by the upgrade promotions. We're going to be launching a new approach to upgrades in the second quarter, just driven by personalization engine we've been investing in. And so soon, right, you'll see what I would call, mass upgrades. And so that has more to do with simply having more aggressive upgrade promotions for the entire market. They will keep us in the game, but the financials are pretty challenging.
 The interesting opportunity on the postpaid side is to use our personalization engine to do much more targeted outreach, so digital outreach to customers with upgrade promotions that are specifically targeted at them. We believe we can get the same upgrade results as with the mass approach to do so with much better spend.
 Second lever, continued investment in the growth areas, prepaid, business and government, towers. You see if we can continue the momentum that we have, you will see significant revenue growth on a relatively manageable expense base. We've already invested in business and government distribution. We've invested in a lot of our prepaid platforms. And so I think we can drive growth on those platforms and on those distributions capabilities without necessarily having to have commensurate expense expansion. And following into tower business -- I mean, right now it's still -- it's not a huge piece of revenue for us. Every co-locator that we get is just dollar straight to the bottom line, so the return on capital profile of that tower business is really attractive.
 If you put all that together and we have what I believe is quite a tactical plan to reach those return on capital objectives. The big wildcard is upgrade and upgrade promotions. I tried to make that clear in the opening comments. 
Operator: We'll go next to Simon Flannery at Morgan Stanley. 
Simon Flannery: Congrats to Vicki and Pete. Best wishes for the future. I wonder if we could just talk about the capital structure on the balance sheet. You've talked about the investments you're making. You've talked about the lower cost of debt. You raised the dividend. How are you thinking about your leverage profile and sources and uses of funds over this 5G and fiber cycle? Are there specific goals that you're trying to achieve that we should be aware of? 
Peter Sereda: Well, we've increased our leverage over the last couple of years in anticipation of the spectrum purchases that we made, and we found that we had very good access to the capital markets. We're sort of in the mid-2s in terms of debt-to-EBITDA and we think we can stay -- our target is to stay low to mid-3x debt-to-EBITDA and maintain our current ratings where we're currently at mid-BB. So we're -- this is a measured program. I mean we're going to be investing heavily, but it's going to be spread out over time. And we think we can sort of thread the needle of investing at these levels while maintaining our leverage levels at acceptable levels. 
Laurent Therivel: Simon, I would just add one note to that. I talked a lot about the IIJA, the potential fund that could come in, which will help return on capital. We don't have a whole bunch of assumptions in the current plan and in kind of what I have -- the goals that we've laid forward. We don't have a bunch of assumptions that we're going to guess those dollars. And so we are funded in a way to help us achieve the plan. Pete and team have done a tremendous job in changing our cost of debt and actually changing our balance sheet. The opportunities I talked about with the IIJA are simply on top of that. 
Operator: And we'll go next to Michael Rollins with Citi. 
Michael Rollins: I'll also stick with one question. Just looking at the guidance slide for UScellular. What's interesting is the margin outlook for 2022 is in, I think if I am calculating right, in the mid-20s. And you've got the national incumbent of them either at or above 50% or trying to get to that level. And so I am just kind of curious as you look at the wireless business, if you can unpack what might be structurally different about the margins versus maybe temporary? And where do you see the opportunities over a multiyear period to meaningfully improve the margins on the current revenue base? 
James Butman: Yes, let me address first where we're at with '22 guidance just the longer term. So going into 2022, we have an inbound roaming revenue headwind in that that was down significantly from 2020, 2021. We continue to lose that really higher margin revenue into next year. We are increasing our retail service revenues at a rate of 3% and that's on ARPU increases. So doing really well there. And the promotional environment that we talked about throughout the call, our cost running through promo went up substantially in 2021. It's going to go up a bit in 2022, provided the promotional environment persist through 2022, which is our current expectation. That could change and that could help us in 2022 if it does.
 On expenses, we are really highly focused. We're going to our sixth year of a cost optimization program. We've really made great progress there, great accomplishments. And so we're only increasing expenses modestly low single-digit percent. And by the way, while we're doing that, we're investing in all the areas you talked about, B&G, fixed, wireless, towers, prepaid and so forth. So that's 2022.
 I mean to get from our margins to where the competitors are, it's really -- first of all, that's a slow path and we've said multiple times our focus is return on capital, but it's all the growth there as we've talked about throughout this call. It's expanding prepaid, business and government, fixed, wireless, towers. It's taking advantage of the infrastructure funding. And our postpaid business seems to get better. Our customer growth isn't where it needs to be, LT addressed churn. We have to address that. We also have to improve our customer acquisition. So it's really all those things. 
Operator: We'll move next to Sergey Dluzhevskiy with CSA (sic) [ GAMCO Investors ]. 
Sergey Dluzhevskiy: A couple of questions. A 2-part question, I guess. One on the tower side of the business. So tower revenues were up 9%, but the average number of [ towns ] ex-U.S. average is still only about 0.5%. So LT maybe if you could provide more color what your specific objectives are for the tower business in 2022? And maybe on a 3-year horizon, what would you view as success? And also considering that you are running this business more like a tower company, what are the pros and cons in your opinion of making it a separate segment within UScellular and providing additional disclosures around profitability and other metrics?
 And the second part of my question is related both to wireless and wireline. I know that the overlap between USM and TDS Telecom footprints is somewhat limited, but with the infrastructure bill and funding available, could your current strategy of hedging out by TDS Telecom and 5G build by UScellular combined with this infrastructure funding create new expanded potential partnership opportunities for both businesses that would allow to grow them at a higher rate going forward? 
Laurent Therivel: So let's start with towers. The near-term objective is continued revenue expansion at the rate or faster than we've been doing it. How are we going to accomplish that? Increased colocation rates, decreased cycle times, marketing these towers to potential co-locators and being more aggressive on how we run that business. We've seen really good success thus far and I expect that to continue.
 Longer term, I think the big opportunity frankly -- not to be simplistic, but it's more towers and building more towers to support our wireless business and putting those towers in place to improve our expense profile, whether it's moving out of high-rent areas, whether it's reducing our roaming exposure, whether it's improving coverage. So we put those towers in place and then we're going to put those towers in places where we also think that we can market them to the AT&T's, Verizon's, T-Mobile's and DISH's of the world.
 And then the final I think attractive growth opportunity to get more towers goes back to what I was talking about with the IIJA, right? If we have -- if we get the economics to put a tower in place, if we can make those more attractive by putting an infrastructure component in that, it means I can make a plan to build 100 towers and make it 300 towers or 500 towers. And so improving both the effectiveness of our business as well as just the total volumes of scale of that business is where we're going with it.
 In terms of overlap with TDS, I absolutely think there is an opportunity, but it completely depends on how the grant programs are structured. So if there is a grant program that's structured up from a state as, "Hey, here is a geography that I want you to cover and I want you to cover it with fiber. And whatever you can't cover with fiber, I want you to cover with something else." And our something else is fixed wireless and we think it's a tremendous service. We absolutely will work with TDS Telecom in those opportunities where we have that footprint opportunity. We will also work with other players. And so, we would absolutely take a partnership approach to serving them.
 Now there is an alternative approach where a state could say, "Look, I'm going to allocate a certain amount of dollars to fiber. I'm going to allocate another amount of dollars to other technologies like fixed wireless." For something like that, we would obviously bid independently and there's not as much opportunity to work together. So I think we have a huge benefit in terms of bidding, because we have a fiber partner like TDS Telecom. And I would argue, they have a similar opportunity by having a fixed wireless provider that can fill in gaps in their footprint when they decide to bid for those grants as well. So I think we're absolutely more powerful together. 
Operator: And there are no further questions at this time. Colleen, I'll turn the call back over to you. 
Colleen Thompson: Okay. Thanks everyone for your time today. Again, please feel free to reach out to Investor Relations if you have any additional questions. Have a great weekend. 
Operator: And that does conclude today's conference. Again, thank you for your participation. You may now disconnect.